Operator: Good afternoon my name is Jason, and I will be your conference operator today. At this time, I'd like to welcome everyone to the B2Gold Fourth Quarter and Full Year 2020 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. [Operator Instructions] I would now like to turn the call over to Clive Johnson, President and Chief Executive Officer and Director. Thank you Mr. Johnson, you may begin your conference.
Clive Johnson: Thanks, Jason. Well thanks for joining us everyone. Welcome to our conference call to discuss our Q4 and year-end financial results for 2020. We had an analyst session that we put into production numbers this year, which I think was very useful for everyone. And this is a session where we're welcoming shareholders as well and other interested parties. So we just asked the analysts if you have detailed modeling questions or when we open up Q&A, I would ask you to not do that in this forum. We're happy to discuss the strip ratio in Masbate in 2030 or whatever in a separate call with you where we’ll continue to be transparent and help you get your models right. But not we don't want to have those kind of detailed questions in this call; you can follow up with Ian. Maybe he'll put you in touch with the right person to answer those detailed modeling questions. In terms of overview, obviously, we had a remarkable year in 2020, by any measure in terms of operating and financial results, as you're going to hear from Mike. And I do think it's we've talked about it before. But I think we're very proud of what we've been able to accomplish, particularly the time of COVID. We did a lot of things well this year, and I think the having a COVID with our employees, all of our stakeholders is I like to think they are very successful and all these countries have very different challenges and all these projects to improve it. But I like to think it's a testament to our culture, and our trust relationship we have with all of our stakeholders. So the governments in these countries that we're in, and our employees, and the local people in the countries around the company all have one thing in common which was we wanted to keep mining, people employment up, pay our taxes and do all the other great things we do during COVID if we could do it safely. So it's been a great results and I just want to shout out to all of our tremendous executive team management teams at the mines, and all of our employees for rerouting together, as all of us as part of the B2Gold family to do an excellent job during this challenging time. So you'll hear about the results of the year that we’re just in a tremendous position to continue to optimize production at our existing minds, continuing to be a very strong financial position going forward and also, of course, continuing with our dividend paying dividends, strong dividends and also our ability to utilize cash operations to further grow the company. In terms of looking a little bit forward now, there's a lot of things going to happen this year. They are well laid out in the new release, but we have the Gramalote Feasibility Study results you get in April. As we're hoping a positive study, then we would be following that up with a development plan very shortly thereafter. AGA had an Investor Day yesterday, apparently, and they were very optimistic as we are about the project. And I think it's an important part from printing what they've said for their, for their for their future in Colombia, wanting very much to be a good, strong partner and we have worked very well together. And things are going very well on site in terms of location. Some of the other requirements, we have to try and get boots on the ground in September if we have a positive feasibility study and a positive development decision. So the partnership at this time, and for some time, it's been pretty much on the same page. Additionally, coming up this year, for Kiaka we're cautiously optimistic at this point, I guess about Kiaka. We'll see by the middle of the year, we'll have the results of an updated feasibility study. But the reasons we're encouraged are not just gold price. It's really some of the things have happened. We haven't we did some more drilling and have a better resource model for this one. The other things are the potential for potentially significant changes in terms of power, fuel and power costs, etcetera. Looking at liquid natural gas, that hybrid policy buying solo and dual fuel haul trucks, etcetera. So it's that gives us reasons to prop internal run suggested the economics of capital could be quite attractive. So we'll know a lot more about that by June. So those are the two key development projects. The other thing I think we're going to talk a little bit about and we’ll be able to answer your questions. Question actually fewer. But just to touch on expiration, obviously a very important part of our history and our success, both in terms of Brownfield and Greenfield, over a long, long period of time. We do have a budget of $66 million for exploration this year. And we've had some questions about that. But I would just say that if we look back historically, we should probably run the numbers one day, but if you look at the money spent on exploration, and the resulting ounces discovered out in Brownfield or Greenfield, we've always had a track record of being very successful and utilizing this large exploration budget to have to pay back tremendously in terms of the ounces generated from it. So this year, a lot of it's there's a lot of it for Brownfields, there's up to 25 million of exploration budget could be allocated from greenfields. There's a number of things we're excited about. And I just want to point out that this is a marathon for us. And we've been going for the long term and exploration. Over time, this has been a very important part of our of ability to grow the company and continue to extend our mine life. We will continue to be driven by geology, not geography as we have been around the world and being on the beach and girls. So some of the things we're now getting to look at we've been pursuing for a while, is Uzbekistan, we actually started pursuing that in 2007, when the -- days as a great opportunity for world class deposits. So we have a joint venture, they're very excited about the targets, we're seeing that. In addition, of course we have Finland, which we're about to be drilling into very exciting zone there, which has significant potential, obviously. And then there's a number of other things we're working on, of course, the Anaconda area for potential major additions to our reserves or another potential discovery. And we detail that in the news as well. And then the cardinal zone, which could add potentially, in the near term, some additional throughput for the for Fekola mill. So there's under all big exploration opportunities, we're working on that as part of that potential $25 million budget would be for other opportunities elsewhere in the world, which we'll be able to detail more as you go onto the year. So I just wanted to point out to talk a little bit about that and the importance of on-going importance of exploration world. So without, I think I would just pass it over to Mike Cinnamond, our CFO who's going to walk you through the financial numbers. And then as I said, we can open it up to questions after that.
Mike Cinnamond: Thanks, Clive. So I'll talk about the quarter fairly briefly, and then just comment in the year-to-date the overall results, given that it's for a year end reporting, and also discuss a few things on the cash flow as well. So firstly, on the quarter, we had revenues of $480 million, so that was based on the sale of 257,000 ounces at an average price of 1868 per ounce. So good gold prices that we saw in Q4 that they actually the highest Q that we saw, given what went on with gold during the year was Q3 for gold prices. And that 1868 for Q4 is a little bit higher than we're seeing now in Q1 as we move into the New Year. We pretty much sold what we produced in the period, so no significant timing changes there. On the production side, good production quarter right on budget, basically. So the total production including our share of Calibre to tradable ounces was 270,000 ounces. So pretty much right on right on budget. And the total from our three operating mines was 256,000 ounces, again, pretty much right on budget. So really nothing to comment on the individual site production other than they basically had budget. Fekola, 159,000 ounces; Masbate, 58,000 ounces; and Otjikoto, 40,000 ounces. So when you take a look at that budget of production and look at how it flowed into cash costs, and this is kind of how we guided I think, in Q3. So on the cash cost -- on a total from all ops, including Calibre, cash costs were $473 per ounce produced, and that's about 55% higher than budget. And those higher than budget cash costs really mainly come from Fekola, where -- because of some mining sequence changes during the year and also some higher costs there, especially on the HFO side and on the labor side related to like dealing with COVID sort of personnel costs there. Total cost per ounce at Fekola were at $397 an ounce, which is -- just over $90 higher than budget. Masbate was $585, which is actually $47 under budget, and Masbate continued to benefit, I think, from lower fuel prices at site and lower haulage and stripping costs. Just to remind you as well, the reason Fekola's fuel costs were actually over budget on the HFO side, they're about 11% over budget was because the fuel costs in West Africa, they don't flow just for the general market. The government sets the fuel price there. It includes bunch of costs to take it cross border from the ports right into the country and some taxes. So the government sets the price, and we haven't seen them follow the underlying market price in doing so during the year. Finally, Otjikoto, $520 an ounce, that was just slightly over budget, $14 an ounce, mainly just due to mining sequence changes because overall, Otjikoto did also see lower fuel costs and they also benefited from a weaker Namibian dollar during the year. Then moving to all-in sustaining costs for the quarter, total including our share at Calibre, $926 an ounce, which is $190 per ounce higher than budget. And again, it's pretty much as we guided, we thought what was going to happen in at the end of Q3. So that's a combination of the higher cash cost of about $50 an ounce and then also higher-than-budgeted sustaining capital in the period and most of that was timing and a lot of it was fleet cost. So in the period, we had about $19 million overall higher sustaining CapEx and we'd originally budget it. A lot of that just rolled in from earlier quarters and most of it relates to or a significant portion of it related to fleet costs either fleet purchases or maintenance that had been deferred or delayed from earlier quarters in the year. And then I'm just going to comment now on the year's results. So firstly, on the revenue side, just under $1.8 billion in sales, annual record for B2Gold with sales of just over 1 million ounces and average price for the year of $1,777 per ounce. So excellent year in the sales side. On the production side, total, including our share at Calibre, 1,041,000 ounce is produced from our 3 mines, 995,000 ounces. And so if you look at that consolidated production number the 1,041,000 ounces, that's right at the upper end of our guidance range of 1 million to 1.55 million for the year. And you've got to look at that context as well. We dealt with COVID through the year at all sites. We dealt with it very effectively based on the production results you're seeing. And also Calibre for a period of time, had shut down their operations as they dealt with COVID in Nicaragua, but we never changed our guidance. And in the end, we still came in at the upper end of that consolidated production range. The individual components of that from our side, Fekola, 623,000 ounces, that's above the high end of its guidance range of 590,000 ounces to 620,000 ounces. Masbate was 205,000 ounces, right in the middle of its range of 200,000 ounces to 210,000 ounces. And Otjikoto was 168,000 ounces right in the range of 165,000 ounces to 175,000 ounces. Oshikwanyama as well as Masbate, not only does they deal with COVID and some of the transportation challenges that were experienced earlier in the year when COVID first hit the Philippines but they also had an earthquake and a super-typhoon and they still hit their range right in the middle. So very impressive performance at all sites. Commenting now on cash costs and all-in sustaining costs for the year, so on a consolidated basis, including our share at Calibre, $423 an ounce. Overall, that's $11 an ounce under budget. So we did see some higher input costs at Fekola, but then that was offset by cost savings at both Masbate and Otjikoto. So individually, Fekola was $320 per ounce produced, which is just that was pretty much at the upper end of its guidance range of $285 to $325 per ounce. Masbate, $629 per ounce, well below budget by $57 an ounce, and like you say, they benefited from significantly lower fuel costs, and also collage and stripping costs were lower than we anticipated. And then Otjikoto, $453 an ounce, that's $46 an ounce under budget. Like I said, they benefited from lower input costs and a weaker Namibian dollar. Then when you translate that all into consolidated all-in costs, $788 per ounce sold, including our share at Calibre, against the budget of $794 million. So just under budget, and it was at the low end of the company's guidance range of $780 to $820 per pounce. Fekola came in at $599 just under $600 million. So that was just slightly above its guidance range of $555 to $595 as a result of slightly higher input costs. And also to remember when we do the budgets, we're basing it on a certain gold price and the royalties that flow into this all-in sustaining cost calculated based on a much lower gold price than we actually saw in the year. Masbate $985 an ounce, so pretty much on budget and at the low and within its guidance range of $965 to $1,005 per ounce. And then Otjikoto $920 an ounce sold, which is well below the low end of its guidance range of $1,010 to $1,050 per ounce. So excellent year operations-wise from all sites. And like I said, I think pretty much where we came out is how we guided in Q3 and when we put production release early in January. Couple of comments on some of the significant stuff going on at site. So at Fekola, the expansion of the Fekola mill and the fleet completed by Q3 2020 came online in the quarter and operating very effectively. And I'm sure Bill is going to comment a little bit about how we see Fekola operating as we go forward. It did come in slightly overbudget in the end by about $14 million, that was mainly due to COVID-related delays and higher labor costs, but overall, it ran smoothly. The solar plant, the new solar plant at Fekola. It was originally forecast and budgeted to be completed in 2020, but we actually suspended that for a while to give us more room in the camp to complete our labor rotations for the regular operations. So they did recommence later in 2020 and it is now scheduled to come online in installments through 2021. The first part of it turned on in this first quarter of 2021 and then should be fully complete by the third quarter. We did have a fire at the site, which destroyed some of the solar panel. So we're just in the process of replacing those. So that pushed out the completion date slightly to the third quarter of 2021. At Otjikoto, Wolfshag underground, development of that is underway. Portal development started, basically near the end of the third quarter. We are about $11 million under budget for the full year 2020. Those costs will just be pushed into 2021, and we're still on target to have the underground development completed and bring it into the production schedule in early 2022 as originally forecasted. We were also under on in the mid -- there's a powerline connection at Otjikoto where we're going to connect our solar plant to the national grid. Again, because COVID delays that we've pushed out into this year, so that will get done this year. We're about $6 million under budget as a result for that. Masbate, Masbate is basically a machine, just ran smoothly. There are no significant delays or CapEx experiences at Masbate as we went through the year. In fact, what we did was we even accelerated a little bit of the CapEx there from 2021, some of the fleet that we were going to buy early 2021. We actually completed in late 2020. Gramalote, we're about $7 million under our share of the budget for the year, mainly due to COVID delays, but we still got our exploration program completed, and we're still on track to have a feasibility study completed in early April. So although we're under budget on the cost side, it didn't delay the key activities that we're pursuing there. And then as Clive mentioned, we are still -- we're revisiting Kiaka. We looked at that through the course of 2020, and we're still on track to have an updated study for that by the end of the second quarter of 2021. A couple of comments maybe on fuel, a key component of our costs. We have still maintained our hedging program where we hedge up to 50% of the next year's fuel needs and 25% of the subsequent years of fuel needs, and we did catch up with that through the course of 2020. And that's the position we were in by the end of the year, and that is benefiting us now in terms of mark-to-market as we go through the first quarter as we've seen fuel cost rise. One of the things that came up, I think when we did our production release as well for 2021 was there are some slightly higher customs and duties, costs in Mali as we come out of our exoneration phase. We had a 3-year exoneration post start-up of the mine activities there, and we've now reached that phase at Fekola. So we have to face some more customs and duties on imports. And there was a question about what impact that was for Fekola. So we quantified that for in the MD&A. It's approximately $15 an ounce for those of you that want to plug that into your models. A few comments now on the income statement side. We talked about revenues and costs. On the G&A side, we're about $10 million under where we were last year. A lot of that is to do with -- there's just a lot less travel and less consulting costs in the current year, again, as COVID certainly restricted a lot of what we would normally do. Masbate impairment reversal. There's a significant item in the P&L there, $174 million that we reported earlier in the year, but just to remind you that's in there for the full year, and that's a reversal of any remaining impairment that we historically taken up at Masbate. We've got -- we're equity counting our share of Calibre results. So we had a pickup during the year of approximately $22 million related to that. And we do have a significant investment in Calibre shares. We took Calibre shares as part of the deal. So they currently got a market value of somewhere around $140 million. On the tax side, I know that quite a few of the analysts you definitely had questions on taxes. So the total income tax charge recorded on an accruals basis for the year was $310 million, and we're taxable at all sites now. We don't have accelerated write-offs of any costs at any sites anymore. We're just paying taxes as we go. And to remind you that, that also -- that tax charge also includes the priority dividend of Fekola. What's quite -- the whole tax situation, Mali and how it's reported and booked and paid, so it is a little complicated. So we've tried to lay it out for you in a bit more detail. It's on the news release on Page 7, just explaining the cash taxes and how we pay them. And we've also put some guidance in the MD&A for you on taxes on Page 8. And then on Fekola dividends, how that all works on Page 13. So hopefully, that will help clarify for any of you that still are a little confused by that, and we're also happy to answer any questions on separate call if you want to follow up. So just to remind you on the tax side, $310 million charge for the year. That includes about $140 million that hasn't been paid it will be paid in 2021. And the main components, that $140 million or $75 million of remaining Fekola income tax liabilities and $50 million for payment of the 2020 Fekola priority dividend. So again, we laid that out in the MD&A. So hopefully, it's clear for you now. For the total year -- well, for the quarter, actually, net income was $174 million or $0.16 per share attributable to our shareholders and adjusted net income was $146 million or $0.14 per share adjusted. Year-to-date, income -- net income was $672 million or $0.60 per share. And year-to-date adjusted, after we take out the significant noncash items, the main ones being the Masbate impairment reversal and deferred tax adjustments. Year-to-date, the adjusted EPS was $0.49 per share. Just a couple of comments on the cash flow statement. So first one is on operating cash flow, $197 million for the quarter or $0.19 cash flow per share. And for the year, $950 million, that's a record for B2, big number. And to remind you guys that did it -- that's after we prepaid $50 million of remodeling in taxes. We ended up with $950 million for the year, which is approximately $0.91 per share. The only other couple of comments on the cash flow statement that I kind of alluded to some of the CapEx in total, our CapEx, we were about $40 million less than budget for the full year, which is a bit -- we're slightly further under budget than we thought at the end of Q3. The main components of that unreached are we had less deferred stripping in both Fekola and Otjikoto, a total of $28 million. Wolfshag underground, as I mentioned, $11 million under. And Wolfshag power line $7 million under, and that was offset by some of the overruns of the expansion as I discussed and some lower exploration costs. We were approximately $7 million undrawn exploration, and a lot of that was greenfield that we didn't get to this year because of some of the restrictions that we faced, but we're hoping to get to it next year, as Clive alluded to in his opening remarks. So for the year, we ended the year $480 million cash and a we have the full amount of our $600 million revolving credit facility available at our disposal. And that is -- I think that's the summary of the highlights of the financial highlights that I wanted to touch on. Thank you.
Clive Johnson: Thanks, Mike. Just something I neglected to mention in my opening remarks was just on strategy. I think it's pretty clear from the news release and from the recent calls we've had. But our strategy remains really the same, which is obviously to maintain our strong financial position we said and the ability of paying a dividend and advance our growth projects. But between the growth projects, the potential we have at Gramalote, at Kiaka, the Anaconda area, etcetera. And all the exploration funding we're doing for both brownfields and greenfields. We're pretty confident in our ability to grow shareholder value in this company over the year, without having to aggressively pursue M&A. So obviously, we'll look at M&A and we all had a big haircut from the highs that we were at, so other companies have as well. But for us to do M&A at this point, whenever that we plan going on and we think potentially you can have lot of shareholder value, it would have to be seen extremely compelling even though the unreal expectations of certain companies have tend to come down because of the certain opportunities because of the gold price. We'll see. We're always looking. But at the end of the day, we are quite ambivalent at this point about M&A, which is a good place to be I think, given what we have on our plate. If something comes along that makes sense and making adds value for shareholders, of course, as by background, we'll definitely have a hard look at it. So I think with that, we'll move to open it up to questions.
Operator:
Q - Tyler Langton: Yes, good afternoon. Thanks for taking my questions. Just on Cardinal I guess, in terms of I know you mentioned to be sending some material to get processed at the mill in Q2. I guess do you have a sense, is it -- after you come out with the resource sort of when you know what Cardinals could contribute this year to production at Fekola?
Clive Johnson: Bill?
William Lytle: Yes. Sure, sure. Good question and maybe we should have talked about a little bit. Just to remind everybody why we're discussing Cardinal at all at this space because there is a chance really to just create quite a significant resource there. But it was basically discovered when we were doing condemnation drilling. So there is a very close to surface exposure of the ore body or up the vein. And I think everyone is aware that the expansion, which we completed in September of 2020 has gone off probably even better than we had hoped, and we've done some throughput trials and showed that while our budget is at 7.75 million tonnes per annum, we have the ability, at a minimum, run at 8 million tonnes per annum in 2021 based on the ore competition that we're seeing. So we have this extra capacity. And so as opposed to running low-grade material, campaigning low-grade material through the mill in 2021 on top of that 7.75 million tonnes per annum, we looked at alternative sources. And of course, the closest source is the Cardinal resource. The Cardinal resources, they're going to continue to drill on it. And the resource, which is coming out isn't really focused on near-surface exposure. So what we've done is we've taken what the inferred resource that the geologists have created, and we've now put a great control pattern across that and created our own kind of mini resource for kind of near-term, open-pit success in 2021. As part of that, we've approached the government and asked for the ability to bulk sample it, and that obviously does a couple of things for us. Obviously, it increases the grade -- the ounce profile from the mill. And so the question you asked was, How much? We think with the kind of like low grade, if we were just putting low grade through that additional 250,000 tonnes, we're probably like at 10,000 ounces. But with the Cardinal resource near-surface exposure, we think that we're going to be somewhere in that 20,000, 25,000 ounce range minimum that we'll be add-on -- it will be an add-on to that. And remember, that's just adding 250,000 tonnes. Certainly, we think that that's the bottom case now because there is more -- we're going to run an 8 million plus that looks like. And so now the question is, what do you do with the rest of that? So we've got additional capacity there, which could come from Cardinal. Additionally, we've got the Mining Code area or the Anaconda area, which has also got some saprolite surface exposure, and so we're looking at some high-grade pockets there, and potentially in 2021 bulk processing some of that as well. So you could see some additional ounces from there as well in 2021. And so all of these things were kind of working through. But the short answer to your question on Cardinal is, it looks like 20,000, 25,000 ounces, but with significant upside on top of that.
Tyler Langton: And just to and that would largely come, I'm guessing, in the second half of the year?
William Lytle: Well, that's the funny thing, right? So we don't necessarily think it's going to come in the second half of the year. We are pushing very hard, actually, Randy Reichert, our VP of Operations, is at Fekola right now kind of laying out mine plants? And what does that look like? I mean, certainly, when we did our optimization on the mining side, we optimized on basically hauling from the Fekola pit. So we've got the issue of, how do we truck this stuff? It's only 500 meters, but how do we truck it to the mill? And so we're in the process of trying to set up maybe a small contract minor service for 2021 until we get our head around it. So ideally, we would actually see it in Q2.
Tyler Langton: Got it. Okay. And then just -- obviously, we've seen a lot of inflation in sort of oil, diesel, steel, freight. And I guess when you come out with the studies for Gramalote and Kiaka a little bit later, should we assume that they will kind of reflect this current level of cost? Just kind of wanted to, I guess, get a bit of better understanding around that.
William Lytle: When you say reflect this current level of cost, what do you -- I don't understand what you're asking?
Tyler Langton: Kind of, like, current -- I guess, current prices for oil, diesel, steel, will these studies kind of have -- kind of, be based on more these current prices that we're seeing now? Or would they be a little bit in the past. Just trying to get a sense for that?
William Lytle: No. I mean, I think you're aware, we updated the -- so AngloGold did a PEA -- or sorry, a PFS in 2017, which we updated into a PEA, and that's because of the inferred versus indicated question in 2020, right? So we certainly updated at least at a very high level in 2020. And as part of the feasibility, I mean, these will have full feasibility costs in it, so we've gone out for quotes, for sure.
Tyler Langton: That’s it. Okay, thanks so much.
Operator: Your next question comes from the line of Ovais Habib from Scotiabank. Your line is open.
Ovais Habib: Thanks Operator. Hi, Clive and B2 team, congrats on a good quarter and thanks for taking my question. With respect to what's on Cardinal, which kind of I think Bill kind of gave a good overview of. I mean, I'm guessing the near term, the reason why it's brought into the near term, where it was previously expected to come in around the Q4 time period. It was based on the fact that now you're just doing that grade-control drilling, and that's given you confidence to bring it into production earlier. Is that how should we be thinking about this?
William Lytle: It really Ovais is -- you could say, yes. But the real answer, if I'm being completely honest is, we have this extra capacity where we know that we're shoving low grade in right now. Right? So we're just doing whatever we can to bring higher-grade material into the mill. And so yes, it could be Q4. Originally, we talked about potentially swapping Anaconda bulk sample and Cardinal bulk sample. But because the grade control drilling is being done and everything, we feel pretty good about bringing it in even sooner. And I know conservatively, I should say that's going to happen in the second half of the year, but when I'm being honest with you we are out there, grade controlling it right now.
Ovais Habib: Perfect. And just in terms of metallurgy and just having that kind of information in your hand, all that has been done previously already?
William Lytle: Yes. Well, I'll let John answer that. But the short answer is yes. We feel very confident about what we've got there. And then just remember, this also -- we think there's a much larger resource there, and maybe Tom can comment on that, which will eventually come out. But certainly, doing this bulk sample, which is one of the key things for doing this bulk sample, will give us a real good handle on how this materially interacts with what we've already got there and how it works its way through the mill.
Ovais Habib: Thanks for the answer.
William Lytle: John, do you want to comment at all on the metallurgy for Cardinal?
John Rajala: Yes, sure, Bill. The metallurgy is very similar to Fekola. We've done testing on representative samples, and it responds very similarly to the Fekola ore. So we're confident that we'll get similar recoveries as Fekola on Cardinal.
Ovais Habib: Thanks, John. And my next question is for Tom. In regards to the exploration budget, specifically for greenfield exploration, is there one specific project or region that you're particularly excited about? Or how should we be looking at? Where you guys are going to be focusing on with this exploration budget?
Thomas Garagan: Yes. I'll just -- first of all, I'll just make a comment. And Clive has said this, and I'll say this or repeat it, it's a pretty big budget, but it's a culmination of many, many years of project generation and talking to juniors and talking to governments and going out and looking at things. And slowly, we've accumulated these early-stage projects. If I had to say there was one area I was more excited than the other, it's kind of a difficult question, but I'm very encouraged by what we're doing in Uzbekistan right now. That's been a project dear to my heart and dear to our hearts because we've worked on it for so many years to generate this. I'm also -- if we look at what we're doing in Finland, we're drilling next to a new discovery by Rupert, and we're excited what we see on our own property. On the other ones, right now, I'd just rather keep those to myself for now because we were still generating things that we plan on drilling later this year.
Ovais Habib: Okay, thanks Tom. That’s it from me guys.
Thomas Garagan: Thanks, Ovais.
Operator: Your next question comes from the line of Josh Wolfson from RBC Capital Markets. Your line is open.
Josh Wolfson: First, a question on the tax side of things. Thank you for the additional disclosure. I noticed the commentary and the call information that the priority dividend would be paid as a tax. In the cash flow statement this quarter, there was still a distribution to non-controlling interest, I guess, of $9 million. What would that be related to? And is that expected going forward?
Michael Cinnamond: Well, the priority interest that we have, we do have interest in Namibia, right, we have a 10% holder, like, owner in Otjikoto. So there are some payments made to them.
Josh Wolfson: Okay. But is it safe to assume that the -- I guess, the full 20%, whatever you want to call it, the free carried and the equity interest for Fekola, that will be captured in the taxes line, not the distribution to non-controlling interest line?
Michael Cinnamond: No, no, it's split. So the first 10% of Fekola, the priority dividend will always be reflected in operating activities. It's recorded as a tax charge and paid within operating cash flows. And then the second 10% is just an ordinary dividend, and it will be reflected as a payment. 
Josh Wolfson: Okay. That’s fine. And then on Gramalote, I guess 2 questions. So with some of the commentary from Anglo earlier this week, is it safe to assume that the ownership is unlikely to change at this point? And then a follow-up on this sort of open-ground claim that's under review by the ministry there, what does that mean for the outlook of the asset and time lines?
Clive Johnson: Yes. I'll answer the first part of that. Everything that AGA has said to us and they reiterated again yesterday in their investor call is that they are keen on Gramalote. It's a project we also think it's very important for them. They keep the project and other things that they want to do in Colombia. They're a bit behind Gramalote in timing. So they see this very important to be involved in a successful joint venture with us as operator, to show the ever new Columbia, what the first potentially first significant open-pit gold mine in the country looks like and how well we're going to do it in a great part of the country to be in Ethiopia. So I think I would be -- at this point in time, I would be quite surprised if there was any ownership change. As we've talked about it before, but based on our agreement, if AGA decides after we submit a development plan, if they don't want to fund, then we have the opportunity to purchase their produce and interest on their market terms based on the feasibility study economics. They also have the option to go down to 30% within the agreement as well. But also, of course, we would have the opportunity to bring another partner in if we so desired. And I think there'll be a long list of companies if the economics are what we're hoping to see that would like to partner it up with B2Gold in Colombia of having our team build the mine. So I'd be surprised that at this point in time things can change, but AGA is very committed to Columbia. And from what they're saying, they want to be part of this project at the feasibility and their development decision. Second part of the question, who wants to handle that?
William Lytle: If you want, I can do it. I assume you're talking to the -- you're talking about the Zante claim? 
Josh Wolfson: Yes.
William Lytle: Okay. Yes. So I don't know if you know the background of it. But basically, the way it works in Colombia is when they did their cadastral layout, originally, it was all done in paper copy, and then they switched over to an electronic copy. And during that, some of the claims didn't line up when they put them in the computer. Zante kind of jumped in there and said that they would like to claim a small portion of that. The government has rejected that outright. Right? They said that that's not the case, and there's really not an open area. And even if there was an open area, that small area, you could never develop it anyway. So they don't think that it's a real thing. Zante has filed the suit against the Government of Columbia saying that they don't agree with that. The government themselves say, it's without merit, right? We've asked to join that case as Gramalote as an interested party, obviously and once again, I think our internal view is that there's no merit to this case at all, and we just got to play itself out.
Josh Wolfson: In the absence of this being resolved, is there a way that this -- that you can sort of just continue with construction advancement? Or does this have to be solved first?
William Lytle: Well, I'll answer it from a non-legal perspective and then they can correct me. But my understanding, the government wants this project to go forward expeditiously, right? They're pushing us even harder than we're trying to go. So I don't see any way where the government tries to stop us from developing this project. Legally, what that means, I guess that's a question for Roger and/or Randall.
Josh Wolfson: Great. Thank you very much.
Michael Cinnamond: Hey Josh, just to follow up on your first question, so I was just trying to remember the timing of the call. So we did make a very -- the very first ever dividend, ordinary dividend payment, to the Malian government. We actually made it just before the end of the year. So part of that $9 million that you're referring to, there's about half of that is the very first government share under those ordinary dividends. For some reason, I had it in my mind. It was early January, but we actually did it just before year-end.
Josh Wolfson: Okay. Thanks for clarifying. It’s great.
Operator: Your next question comes from the line of Don DeMarco from National Bank Financial. Your line is open.
Don DeMarco: Hi, Clive and Bill, thanks for taking my call. First question is for Bill. So Bill, at Fekola you mentioned before you were testing higher throughput rates in December. I was wondering if you could give us an update on how that's going. I heard you say earlier, it looks like maybe you can do 8 million tonnes per year, but what are you finding based on your testing you've done so far? Can it go higher? Or where are you at?
William Lytle: Yes. So now John is going to kick my butt for saying it, but yes, we think that we can go higher, right? So we're at -- we're currently running even above 8 million tonnes per annum. But with that being said, we need to caution everybody right. So it was designed for 7.75 million tonnes per year. We've already put out 8 million tonnes per year. We're running above that right now, but we don't have any experience, right? So I think everybody is telling me to just hold off, and we're happy to say 8 million tonnes per year without putting the upper number on there, but it has the potential to go higher, but that takes into things like maintenance and how do you layer your critical spares and your downtime and all these things that we really have to look at, that we don't have our head around yet. So I'm a bit low to give an upper bound.
Don DeMarco: Okay. Fair enough. So the guidance for 2020 calls for 7.75 million tonnes per year run rate. And so when you mention Cardinal to add on additional 250,000 tonnes. To get 25,000 ounces, I just ran some math here. It looks like you'd be grading about 3.3 grams per tonne, which would be well above the guidance grade of 2.3%. So is that right? You're sort of thinking to get that 25,000, you'd be topping 3 grams per tonne from Cardinal?
William Lytle: Yes. I would say, yes, but maybe Randy can correct me. 
Don DeMarco: Okay. And so it sounds as though if you're going to get to 8 million tonnes per year, 250,000 tonnes is probably going to be hitting capacity, but -- or is there any other opportunity to bring on something else from Anaconda? I think you had mentioned -- that was mentioned maybe in previous calls.
William Lytle: Yes. So from Anaconda, there absolutely is the potential. But remember, that's in a separate license area, so that has its own set of issues. What we're doing there is we're doing -- we're doing an internal study right now to see what that looks like. Once again, Randy Reichert is managing that study with the intent, not only to take a bulk sample from Anaconda because we don't see this as like a short-term issue. We believe there -- once again, there's a pretty significant resource at Anaconda, but they need time to drill it. And so really in 2021 and 2022, which other people have noticed that we have a bit of a dip in 2022 as well, we have the potential to add some ounces from Anaconda. And so the plan is to take -- is to permit a bulk sample because remember a lot of that is sample layer. And so then you get into the issue on not only is it 8 million tonnes or is it higher net. Then is that can you add sample layer on top of that? What's the percentage? So we want to take a big bulk sample again from Anaconda, that we think that will happen in the second half of the year as a test. And then that will really tell us what's going to happen in 2022. So the answer is yes, additional ounces potential from Anaconda, which I talked about previously. And in 2022, we can once again see additional ounces in that regard.
Don DeMarco: Okay. Okay. Thanks, that will do. And maybe just one final question on Gramalote. So you've got this asset that's coming out in April. We look forward to that. But in terms of the go-forward decision, are you going to wait until, say, after the Kiaka asset in June? Or are you going to take your time? And how will, say, for example, Tom mentioned he's encouraged by what he's seeing in Uzbekistan. Is there anything else in your pipeline that could potentially delay a go-forward decision on Gramalote?
Clive Johnson: No, I would say, not at all. I mean, Gramalote is first in the queue for sure ahead of Kiaka and very much sure. If we get the results in the study we're looking for and go to the drill plan, we'll be -- that's our top priority. And yes, I think it's really important to realize that the good news is that the local people, the local government and then Ethiopia local community and the federal government, everyone wants this mine to go ahead as fast as possible. They made it very clear to us. So you don't -- one, it's in our pipeline because for a reason because it's ready to go and we're looking forward to something to the feasibility study getting going right away on it. But also, the same important with your social license of expectation here. So there's a lot of expectation out there many years from Gramalote, where the people and the government saying, Okay, when are you going to start construction? So we wouldn't be driven only by that criteria, but you've got a willing government, a willing population, really, good joint venture, a lot of good work has been done, and we've got our construction team jump on the bit to get on the ground. So -- and as importantly as all of that or more importantly than all of that, it's what we expect it to be. This is a significant addition of over 200,000 ounces a year to be B2Gold, and it could be funded over the next 2.5 years our share of capital, which is estimated to be around $450 million, and some of that would be a fleet. So it might be less than that, you could pay for the fleet over 5 years. So we do clearly, from our current projections, fund our share of capital over about 2.5-year period from cash from operations. So no, it's ahead for sure. Kiaka, and once again, Kiaka, you've got a governor of Burkina Faso that's very keen, like all governments, today to see almost all governments in the world for the need for investment, and gold mining is becoming and proving itself during COVID to be an excellent investor in this country. So I think in the case of Burkina Faso as well, we're working closely with the government. We have guys down there next week, meeting with them, to talk about what the facts are going to be like, to try and really advance our feasibility study for a view of that in the middle of the year. Now we've always said we're never going to split our construction team and build 2 mines at the same time. That's part of our key to our success and this remarkable team being focused. But we talked a bit about before Bill and those guys are looking at it. So let's say we get positive studies on both of them, well, we could bring a partner into Kiaka, we could sell the asset, of course, but we're also looking at the idea that's attractive as we think it may be based on the internal results to get to taxation, et cetera, then Bill and his guys are talking about sequencing. So could you have the earthwork's crew, for example, which we would start in Gramalote, hopefully, as early as September, would you have that crew ready to go from Gramalote to go to Kiaka, potentially, as the real construction team comes into Gramalote and then subsequently they move on. So can you sequence them in? We're looking at that. So I wouldn't rule anything out. I don't want to -- I know some people will freak out and go, Oh my God, look at all this capital that B2Gold is going to spend over the next 3 years. Well, let's not make too many assumptions on that. We have many alternatives on Gramalote, we want to go forward with based on this positive study we expect with our partner. But at Kiaka, there's a whole bunch of alternatives if it is good as we think it could be and why wouldn't we want to continue to grow the company for our shareholders by considering that rather than a joint venture with someone else or doing it ourselves. But we have a pretty remarkable track record over the last 13 years of growing through acquisition and exploration, etcetera. But here, these are 2 assets we own with a very little value in our share price with them, which is understandable at this point in time. But I think we're never going to be reckless, but we'll continue to aggressively grow the company, and it's hard to argue against the track record of success we've had at doing that. We're not going to wake up stupid next week and then make a silly decision about the development of this company in my view. So we'll continue to be very disciplined about how we do it. But it's great to have these assets. Some people are looking to go, Oh, my God, look at the capital expenditure they have. Well, that's way ahead of the game right now. And at the end of the day, we're not saying just trust us, but we'll come over the plan for the assets that we think will please our shareholders and not take up on too much risk.
Don DeMarco: Okay, great. That’s very helpful. So that’s all for me and congratulations on a strong 2020.
Clive Johnson: Thanks a lot, Don. Appreciate it.
Operator: Your next question comes from the line of Carey MacRury from Canaccord Genuity. Your line is open.
Carey MacRury: Hi, good morning guys. Maybe just another question on Cardinal. You talked about sort of the impact on -- potential impact on 2021. Just looking beyond 2021, is the goal at Cardinal sort of sustain that 500,000 ounces at Fekola longer? Or could you increase production over the next couple of years?
William Lytle: Well, that really gets into what the ultimate resource looks like, which I think -- I don't think there's an initial resource coming out, but the ultimate resource, I think, is still a ways away from being developed. And so I would probably turn that over to Tom.
Thomas Garagan: So yes, can you guys hear me? 
William Lytle: Yes.
Thomas Garagan: The resource that you guys are doing, the grade control on right now, is all when it's -- when we complete the resource, which would be in a couple of weeks here. It's going to be inferred. And we're probably going to leave the bulk of that resource in for exploration drilling for this year as we've got some tight drilling in where the ore shoots are, to try to follow those down plunge. We've got some drilling set aside for deeper exploration. And we've got a little bit of a more sort of grade control style drilling within the exploration budget. So for this year alone, we've got close to 12,000 meters of diamond and about 6,000 liters of RC drilling plan for Cardinal. We still see it as an exploration bet, but there's a lot of -- from my perspective, it's still early on that Cardinal which was found last year, basically, and now we are starting to mine it. I'm not complaining, I'm just saying that we are very early on it. So the ultimate size is still yet to be determined but it is part of our active exploration program. I don't know if that answers your question.
Carey MacRury: No, that's helpful. So beyond the bulk sample, there's no sort of invent plan to keep it into the mine plant in the near term? Or is there going to be like a bulk sample and then a bit of a break? Or is it -- you can kind of just keep mining it as you go as you get in front of the exploration?
Thomas Garagan: No, I didn't say that. The inferred model that we're going to have is going to be incorporated into the planning by the mining department. We don't plan to turn that into all indicators. They're already doing great control of drilling on it, and we'll continue to follow that, and then we'll continue to drill it deeper.
Carey MacRury: We're hoping you can send the mine plan going forward, right? We hope it continues on, Bill? 
William Lytle: Yes, for sure. I mean, once again, I hate saying that because as Clive just -- or Tom just pointed out, we're talking about an inferred resource that quite frankly we haven't even seen the latest update on. So absolutely, I mean, it's 500 meters from the edge of the existing pit. So it is in an ideal location, and we will take that as soon as it becomes available. 
Carey MacRury: All right. Thank you.
Operator: Your next question comes from the line of Anita Soni from CIBC World Market. Your line is open.
Anita Soni: Hi, good morning guys. Thanks for taking my questions. Most have been asked and answered, but the only one I have remaining is about the Cardinal. Just to be clear, the 20,000 ounces to 25,000 ounces, is that within your guidance incorporated already, in terms of the production? Or -- and secondly, in terms of costs, would that higher-grade material have a beneficial impact on the cost? Or is that more just tied to the strip ratio?
William Lytle: Yes. So the first part is, no, it's not included in our existing guidance. Any guidance we put out, even our 5-year guidance that I think we did at Investor Day last year does not include any of our inferred or upside sources. And so what we put out was 7.75 million tonnes per annum throughput at Fekola with no upside from Cardinal. And as far as cost, I think, once again, because we don't even know what the contract rates or anything like that? I'm a bit low to say about that. But if you're talking about just a small amount -- a small percentage versus the 500,000 ounces, we're already producing.
Anita Soni: Okay, allright. Thank you.
Operator: There are no further questions. I'll turn the call back to Clive for closing remarks.
Clive Johnson: Okay. Well, thanks, everyone. Good questions. And as I mentioned at the outset, if you have further detailed modeling questions, we're here to share and be transparent in helping the model. So don't hesitate to reach out if there's other questions you would like to ask. And we're very excited about the year coming up and or this year. And we look forward to reporting back to you as we get exploration results in and other developments, like feasibility studies. Over the next period of time, we'll have a lot of news flow for you. Thanks, everyone.
Operator: That concludes today's conference call. You may now disconnect.